Annie Ho: Good morning, everybody, and thank you for dialing in to Swedbank's Second Quarter 2024 Results Presentation. My name is Annie Ho from Investor Relations. And in the room with me is Jens Henriksson, Anders Karlsson; and Rolf Marquardt, our CEO, CFO and CRO. Let's kick off with our usual presentation and then follow up with Q&As. So over to you, Jens, please.
Jens Henriksson: Thank you, Annie. Swedbank has again delivered a strong result, and we are creating values for our customers and shareholders in both good and bad times. In an uncertain world, economic conditions continued to improve in our 4 home markets during the quarter. Household purchasing power improved in Latvia and Lithuania, thanks to strong wage growth and falling inflation. In Estonia and Sweden, households are still cautious. Our home markets are well positioned for the future with strong public finances and competitive firms. Indications are that growth in Sweden, Estonia, Latvia and Lithuania will be among the highest in Europe next year. Policy rates have been lowered by both the Riksbank and the ECB. And looking ahead, we expect further cuts. At the same time, interest rates will remain high for longer. In these uncertain times, Swedbank delivered a strong result of SEK 8.6 billion for the second quarter. Net interest income decreased by 3%, mainly due to lower deposit margins. Net commission income increased by 5% due to higher income from asset management and card provisions. Expenses increased according to plan, and we maintain a strict cost control, and the cost-to-income ratio was 0.35. The temporary hiring freeze introduced in late April as in June, resulted in that the number of employees began to decrease. We maintain a high rate of investments related to fighting fraud, improving our payment system, data and AI and to IRB. Summing up, we delivered a return on equity of 17.5% and earnings per share of SEK 7.61 for the second quarter, a strong result. Swedbank has a conservative and thorough lending process. Our credit quality is solid. And during the quarter, we reported credit recoveries mainly due to an improved economic outlook. We have a strong ability to generate capital and a strong capital position with a buffer of 5 percentage points. Our liquidity position is strong. Swedbank's work systematically and continuously to fight financial crime and reduce the risk of fraud for our customers. To further strengthen our work, the group function anti-financial crime was during the quarter, integrated into group products and advice. These moves, these operations closer to the bank's customer, product and service offerings with a focus on digital execution. To reflect the breadth of our work, the new unit is changing its name to Economic Crime Prevention. Our work never ends, but we are seeing the results of our intensified efforts with customers now reporting a lower amount from fraud losses. The target of a sustainable return on equity of at least 15% is the foundation for our Swedbank 15/25 plan. And the plan is based on 4 business priorities. First, we will leverage and continue to develop our proven business model. We will grow the share of wallet for existing customers. We will grow the business in prioritized segments, and we will improve our availability and operational efficiency. During the quarter, we were able to distribute nearly 1 million calls within our Swedish local branches through our new cloud-based communication platform. And the work to develop our new and modern savings platform has continued. We have now moved more than 1 million accounts and customers into the new platform. The new platform gives us better opportunities to support our customers to improve their financial health. Swedbank is the leader in mortgages in all our home markets in tight and tough competition. In Sweden, we saw increased demand for loan commitments during the quarter, and that is a sign that the market is slowly beginning to pick up, but the volume of new loans remains low. In Estonia, Latvia and Lithuania, demand for mortgages remains stable. During the quarter, we saw increased deposits in tough competition. And when the market changes, we act strategically and decisively. Our work to build a strong savings culture in Estonia, Latvia and Lithuania is continuing. Our Robur funds continue to be an attractive investment alternative. The educational foundation in Latvia started on our initiative launched operations during the quarter, and Swedbank has contributed a first sum of EUR 6 million. The foundation's mission is to support initiatives that contribute to society's growth and development. The work being done in our new business area, premium and private banking is producing results. Since the start of the year, the number of newly connected customers who have chosen the private banking concept has increased by 7%. During the quarter, we saw increased customer activity in the corporate segment. Lending volumes in Sweden increased, mainly driven by the real estate sector and large clients. We are selective, and our exposure remains in line with the bank's strategy and risk appetite. Corporate lending is performing strongly in Lithuania, and we are now market leading. This is a result of a sharper focus on both existing and potential customers, improved service quality and customized financing solutions. During the quarter, we took another step in our Nordic strategy by partnering with the Finnish bank Aktia. We are thereby expanding the corporate offering in Finland in a similar way that we have previously done in Norway and Denmark. As you all know, sustainability is at the core of Swedbank's business strategy, customer promise and day-to-day operations. We have extended our partnership with the company, eAgronom and become a part owner. Together, we are offering agricultural customers in Estonia, Latvia and Lithuania financing solutions for investments in sustainable agriculture, a sustainable bank is a profitable bank. Together with our customers, we can create a financially sound and sustainable society. And Swedbank cares deeply about financial health. And this means having financial literacy, a long-term savings buffer, income that exceeds expenses. And if you borrow, have margins and have insurance to provide financial security. With this in mind, it is gratifying to see an increased interest in pension savings in the shape of unit-linked life insurance. Swedbank Försäkring is now the largest unit-linked life insurance company as measured by both premium payments and assets under management. And with that said, I give the word to Anders who will deep dive as always, into the financials.
Anders Karlsson: Thank you, Jens. Let's start with lending and deposits. The loan portfolio increased by SEK 13 billion, excluding a negative FX impact of SEK 5 billion. In Sweden, total private mortgage lending was stable. While volumes are still muted, we are seeing positive signs in the mortgage market. House prices have increased over the quarter and transaction volumes year-over-year have improved. Total corporate lending in Sweden increased by SEK 7 billion, mainly to the property management sector. And in the Baltics, private lending increased by SEK 2 billion and corporate lending by SEK 3 billion. Customer deposits increased by SEK 22 billion, excluding SEK 6 billion negative FX impact. Private deposits in Sweden increased by SEK 12 billion and by SEK 7 billion in the Baltics, positively impacted by income tax refunds. Corporate deposits in Sweden were stable and they increased by SEK 4 billion in the Baltics due to temporary inflows from the state and investment institutions. Turning to the revenue lines, beginning with net interest income, which decreased by 3%. Volumes impacted positively while the net interest margin was lower. This was due to known trends, namely lower market rates, high-margin corporate deposit outflows from last quarter and higher costs from increased wholesale funding. The changes that we made in May and June on customer lending and deposit rates had a relatively small impact this quarter. In the Baltics, lower market rates impacted NIM negatively primarily due to transaction accounts where we pay 0%. The higher wholesale funding costs were a result of higher outstanding volumes and the full quarter impact of a couple of capital and MREL issuance in Q1. The outlook for the economies in our home markets has improved, which will provide an opportunity for lending demand to return. Going forward, we will continue with our pricing strategy, and actively work with our administratively priced core products on both sides of the balance sheet. Over to net commission income, which increased by SEK 194 million mainly driven by stock market performance within asset management and seasonally higher card commissions. Net gains and losses was strong and ended at SEK 911 million, an increase of SEK 230 million. FX and fixed income sales and trading performed well contributing almost SEK 700 million to the NGL, and there were positive revaluations from funding-related swaps. Other income increased by SEK 160 million and ended at SEK 991 million. All key lines were higher. Underlying net insurance income continues to improve, having offset the SEK 84 million revaluation effect. Total expenses are developing according to plan. We started off this year at a higher investment and development pace, which continued into Q2. These include improving our omnichannel communication platform, further development of our IT infrastructure, including data and AI, fraud prevention and IRB. For the quarter, total expenses were SEK 280 million higher. Salary increases for employees in the Baltics were implemented at the beginning of April, IT maintenance has increased as we experienced the full effects of recently negotiated third-party contracts rolling in. We paid out an endowment in Latvia of roughly SEK 70 million, and FX increased expenses by SEK 50 million during the quarter compared to our cost guidance, which assumed a neutral development. FX have added SEK 100 million to expenses year-to-date, reminding you that this is net positive for the bottom line. For the rest of the year, you will see less fluctuations between the quarters compared to a typical year. Now over to you, Rolf, to talk about asset quality and credit impairments.
Rolf Marquardt: Thank you, Anders. Credit quality is solid. Our customers show continued resilience, and year-to-date, we have had net recoveries. Past due loans for Swedish households were at very low levels and the inflow of new late payments and forborne exposures has continued, but is slowing down. In the second quarter, credit impairments ended at a net recovery of SEK 289 million. The updated macro forecast reduced provisions by SEK 253 million on the back of an improved economic outlook. Rating and stage migrations added SEK 282 million, mainly in the construction, manufacturing and retail sectors. At the same time, SEK 43 million of the post model adjustment was released. The remaining post model adjustment is SEK 946 million. Individual assessments were SEK 79 million. Net repayments reduced provisions by SEK 320 million, mainly in property management and construction but also other various sectors. Our portfolio sale gave a net gain of SEK 137 million. The Swedish property management sector continued to have a stable development during the quarter. A large part of the property management companies and especially the large and medium-sized ones, have adapted well to the new conditions, we apply a selective approach to our new business in the sector. Looking at the reported Q1 financials of the 20 largest customers, the debt service tolerance ratio, that is the breakeven interest rate was 8.3%. The average interest coverage ratio declined to 2.4%. I will note that the decline has leveled off. So to conclude, we have a solid credit quality. Back to you, Anders.
Anders Karlsson: Thank you, Rolf. Now turning to capital. Our capital position continues to be strong with a CET1 capital ratio of 20.1% and the buffer of around 500 basis points above the requirement. The capital target range of 100 to 300 basis points remains. Risk exposure amount decreased by SEK 11 billion and ended the quarter at SEK 848 billion, mainly due to a net SEK 10 billion reduction as exposures, including tenant owner associations were reclassified from retail to corporate exposures outside the risk weight floor regime. This is part of the ongoing IRB work. I now hand over to you, Jens.
Jens Henriksson: Thank you. So let me now sum up the quarter where we once again delivered a strong result. The return on equity was 17.5%. We maintained strict cost control. For the quarter, the cost-to-income ratio was 0.35. Credit quality remains solid, and we reported credit recoveries and our capital buffer is strong at 5 percentage points. We look forward to delivering even more customer value and taking additional steps to deliver on our plan, Swedbank 15/25 and we are creating value for our customers and our shareholders. Our customers' focus is our focus. And with that, I give the floor back to you, Annie.
Annie Ho: Thank you very much. I think we're ready to open up for Q&As. [Operator Instructions] Operator, over to you.
Operator: [Operator Instructions] The first question comes from the line of Andreas Hakansson, SEB.
Andreas Hakansson: So first question comes on the NII. I mean you've done very significant funding in the quarter at the same time as your deposits has been growing, and there's been not that much loan growth. Could you take us through how you see the funding for the rest of the year if lending is picking up. Have you done the funding and the lending is now to catch up, so to say? And together with that, if you look at the NII outlook today compared to just a quarter ago, if we disregard the rate decline, which obviously has an impact. But are you today more positive? Or what's your outlook today? That's my first question related to NII.
Anders Karlsson: Thank you, Andreas. On the funding side, we have issued approximately, I think, SEK 80 billion in the first half of the year, and we have plans to issue another SEK 80 billion in the next coming half year. So that stands. As you know, the funding need is a composition of regulatory funding, which is MREL related. There we are at a good level, but that needs to be maintained, as you are aware of, when bonds are maturing or closing into maturity, they are worthless from an MREL perspective, we need to keep that level up. Deposit in the quarter is up correctly. So I would argue that it's more of a seasonal pattern. You can't base your funding plan on seasonal patterns. So we will use covered bonds going forward as the sort of mechanism to close any funding gap. On your second quarter, when it comes to NII outlook, Andreas, I need you to repeat that because I forgot the last question.
Andreas Hakansson: Yes. I'm just thinking, compared to what you saw a quarter ago on the underlying NII, excluding the rate cuts, so to say, you talk about the pickup in interest for mortgages and you see some decent flow in deposits and then you have the funding. Are you more or less positive on underlying NII today compared to a quarter ago?
Anders Karlsson: I will not guide on that, Andreas. But the 2 important factors that will be part of the answer is how we act on our pricing on the administratively set rates on the asset side and the liability side and hopefully, lending volumes picking up.
Andreas Hakansson: Okay. We'll see that. And my second question is on capital. You have a massive buffer today, and you will continue to build capital in Q3 and Q4 was probably. Have you given any guidance or could you update us on timing of your IRB model approvals, what you believe the net impact is going to be from your Pillar 2 add-on maybe also together with Basel IV, if there's an update on how you think those different components going to cancel it, charter route? Or what's the net impact?
Jens Henriksson: Okay, if I start, and then I'll send it over to Rolf, Anders. So let's see who sort of fights to get that question. So first, you know that we have a capital buffer range between 100 and 300 basis points. And when we look on 15/25, we target the mid of it, i.e. 200 basis points in 2025. And that gives us some excess capital in 2025 of 300 basis points or maybe a little bit more. Out of these, 100 are reserved by the Swedish FSA, and we expect the lion's share to be released during 2025, and all that stands and we have no intention to hold more capital than necessary. Now decide, who want to take this question? Anders.
Anders Karlsson: I'll go for it. I think that the way to think around Basel IV and what's upcoming, Andreas, is that the first regulatory effect you will see will come on the current regulation at the end of the year when we do our annual update of op risk, risk exposure amount calculations where we replaced the '21 revenue lines with the '24 revenue lines. So you can use your own estimate for the full year and replace '21 with '24 and then you get an idea of that. When it comes to Basel IV, what we said in the Investor Day is that around 130 basis point lies ahead of us that includes IRB and Basel IV. Basel IV is as far as we can forecast of limited impact. And again, it's operational risk that will have a negative impact from it on the back of the change in coefficient for the calculation of op risk exposure amount.
Rolf Marquardt: And then I could pick up on the approval process. So IRB approval is expected to continue this year 2025 and into 2026. What comes first in line for us is that the Swedish private models, including the private mortgage models and that we expect to be dealt with during 2025, but it will continue the total process into 2026.
Andreas Hakansson: And Anders, back to you, you said 130 bps, which is then going to be offset by a reduced Pillar 2, right or?
Anders Karlsson: The estimate that we did in the Investor Day did not include the P2R.
Andreas Hakansson: And you still don't believe that that's going to be reduced because you have an add-on today relating to the IRB models, right?
Rolf Marquardt: So Pillar 2 related. The big part of the Pillar 2 requirement is related to the mortgage portfolio. And that will be released when we have the approval for the Swedish mortgage models.
Andreas Hakansson: Yes, exactly.
Operator: The next question comes from the line of Magnus Andersson ABG.
Magnus Andersson: Just wondering about your cost target. It implies a fairly flat development of cost in the second half of the year versus the first half, which is quite unusual, just how we should think about that. And related to that, could it be a point -- in Q4, you guided for investment initiatives adding some SEK 1 billion per year in '24, '25. Could it be an idea to front load the whole program if things are going well.
Anders Karlsson: Yes, you're correct. And that's why I said that you will see a more evenly distributed cost development over the year. We have had a very high development pace during both the first and the second quarter. And you can clearly see that. And we have been using external consultants to a very large extent. We will gradually come down into the next half year of this year. Then as you have, Jens mentioned, we have this hiring freeze, which is now giving an effect, which will also be seen in the second half of the year. When it comes to your idea of front loading, we are front loading. That's the whole point. But you need to have the capacity to deliver, not only spend money. So -- and we have said roughly SEK 1 billion in '24 and roughly SEK 1 billion in '25.
Magnus Andersson: Okay. So not necessarily SEK 1 billion per year then. And second, just a follow-up there. Have you said anywhere how much of the SEK 1 billion for '24 you have done in the first half?
Anders Karlsson: No, we have not, and we will not specify it since it is part of already up and running projects.
Operator: The next question comes from the line of Gulnara Saitkulova, Morgan Stanley.
Gulnara Saitkulova: This is Gulnara from Morgan Stanley. On NII, can you talk about your outlook for the lending and deposit margins for the coming quarters in Sweden and the Baltics? And when could you potentially expect the feasible improvement in lending margins to come through? And when would you expect the potential pressure on the deposit margins to subside? And related to that, the question on the competition, can you just share in a bit more detail what you're seeing on the competitive behavior on both loans and deposit pricing and where it is coming from. You mentioned during your commentary that there is some pressure there. But do you see any improvement versus Q1 or late last year? And how would you expect the competitive behavior to evolve in the second half of this year and into 2025 and the potential implications on the margins from the competition?
Jens Henriksson: Well, let me first start. So we -- if you look on sort of the demand for loan is quite low. And that means that there is a lot of competition for the loans that are out there. And if you look on the mortgage market, you will see that it's a tight competition around that. When it comes to lending margins, they are roughly about the same now as before.
Anders Karlsson: Yes, thank you. I will not guide you on this. But when you look into our balance sheet structure, we have a fair amount of transaction deposits where we are paying 0 or very close to 0. So that you should have in the back of your mind when you look at this. When it comes to what I’m talking about to continue with our pricing strategy working with both administratively set rates on the assets and liability side that will be very much up to competition. But just to remind you what we did in May in Sweden when we saw the first rate cut from the Riksbank, we lowered our 3-month mortgages with 25 basis points, but we also lowered all our transaction and savings accounts with 20 basis points. So when market rate changes, we will act decisively, but the competition is obviously something to factor in.
Operator: The next question comes from the line of Sofie Peterzens, JPMorgan.
Sofie Peterzens: Yes. Here is Sofie from JPMorgan. Just about the SEK 11 billion risk-weighted asset release that you saw this quarter, which was mainly driven by a reclassification of housing associations in to the corporates. What was the rationale for this? Why do it now? Was there kind of what drove this change? And also what drove the change in the kind of large corporate PD models? Was it the regulator? Or was it your own initiatives? So if you could maybe give a little bit more background around this. And also, if you could just let us know what the risk weights are for the housing associations? Is it in line with your peers to 3% versus 25% previously? And also on the corporate side, what the risk weights reduction was? And then the second question would be one of your peers who reported this morning, difficult to guess. They announced that they have a pension surplus over SEK 30 billion that is deducted from the core equity Tier 1. Do you have anything similar? And if so, how much is your pension surplus? How much could you potentially extract from the pension surplus in the core equity Tier 1 on an annual basis? And then the final question, is there anything additional you can say on the pending AML case that, any update here would be much appreciated.
Jens Henriksson: Well, let me start with the final -- not the final, the last question. As you all know, we are still in discussions with 3 use authorities, the Department of Justice, the Securities and Exchange Commission and Department of Financial Services in New York. And as I've told you many times, when I was a new CEO, I talk with other colleagues that have been in similar circumstances. And they told me that the process like this usually takes between 3 and 5 years. In October, I have been the CEO for close to 5 years. So in that sense, we are getting closer. But it is a time line that is fully decided by the U.S. authorities. I do not know when that will -- this will be concluded. I do not know whether we will get any fine. And if we do get any fine, I cannot estimate the size of those. And we have been as transparent as possible during this process. And as always, when something material happens, we will continue to adhere to that principle. Now who want to -- Rolf?
Rolf Marquardt : Yes, I could pick up on the question regarding the change on risk weights for housing association. So we have, as part of the IB overall work and preparations for CR3 we have reviewed the exposure class definitions, we have and decided to move housing associations into the corporate sector. That means that they will fall outside of the risk weight floor. So that's what you see. So it's part of the process we are going through here. And secondly, when it comes to the Article 3 change related to the corporate PD models, we got the approval for those last year, and then we started to implement those models in July 2023. And then it takes a year to go through the complete process. It has now been completed, meaning that we don't need the Article 3 add-on anymore because it's now into the figures. And then finally, on the risk weights on the housing associations. I don't have that on the top of my mind. We might get back to that to you.
Anders Karlsson: And Sofie, on your question around the pension surplus, I need to get back to you on that one as well. I don’t have that on the top of my head.
Operator: The next question comes from the line of Namita Samtani, Barclays.
Namita Samtani: Firstly, do you think deposit mix shift in Sweden and the Baltics has bottomed out? And secondly, just in Sweden on the deposit rates, you said you were able to manage 20 bps on the savings accounts, but why only 10 bps on the 3-month rate?
Jens Henriksson: Well, first, what we did is that -- let me answer on sort of what the customers sees. We had 0.3% on current account, and we lowered that to 0.10% and e-savings account, we had 2.10%, and lower that to 1.9%. So we did across the board with 0.2% cut. At the same time, as we cut mortgage rates with 25 bps. Anders, do you want to?
Anders Karlsson: Yes. And on the mix shift, if you look at Sweden first, we had 0 mix shift from savings for transaction accounts into fixed term. If you look at the Baltics on the private side, it’s very limited. It’s up a bit on the corporate side, but that is related to what I said in my speech, temporary placements from the government and investment institutions. So it seems to have stabilized.
Operator: The next question comes from the line of Bettina Thurner, BNP Paribas.
Bettina Thurner: I just had a quick question about the mortgage margins. If we look at your company website at a negotiated rate, we can see that in June, the 3 month fixing was stable to May despite of early May still not being affected for the rate cuts. Could you maybe comment on this? Is this an early sign of maybe the lending margin pressure easing a bit in Sweden? Or is this just a mix shift effect that we shouldn't read too much into it?
Jens Henriksson: Well, I don’t think you should read much into it. It is a tight competition. And when you look on private mortgages, it’s – we see some signs of a pickup in the market. But remember that during 2020 – I mean let’s go back. First, in 2023, the full Swedish mortgage market grew by around SEK 15 billion, and that was less than 1/10 to what it was compared to 1 year before. And if you look in the first 5 months of this year, the full Swedish mortgage market has grown by around SEK 9 billion. Out of that, we have grown with around SEK 3 billion for our own channels. So why am I saying all this? Well, there are low volumes and tough competition, and we stand ready when the market takes off with more volumes.
Operator: The next question comes from the line of Martin Ekstedt, Handelsbanken.
Martin Ekstedt: So looking at Slide 11, which speaks about the targets for corporate lending in the Baltics and increasing market shares some 5% to 10% to 2030. I also noted in the quarter that UniCredit is now are run by of Luminor in the Baltics. I just wanted to ask, my question is with the entry of a major European bank into the Baltics change those assumptions around targets that you have there on that slide. Or is it already factored in that Luminor will change hands over this time period?
Jens Henriksson: Well, thank you for a good question because that's exactly what we talked about in our 15/25. We have strong ambitions in the Baltics. And I usually don't like to talk about the Baltics. I talked about Estonia, Latvia and Lithuania. We're the #1 bank for privates in Estonia. We're #1 in Latvia and #1 in Lithuania. When it comes to corporates, this quarter, we're actually the #1 in Lithuania as well and #1 in Estonia. We want to grow more when it comes to sort of the corporate market and our ambition stands. And of course, there will be competition. But we have to, as always, have the best offer.
Martin Ekstedt: Understood. And then I had a second question coming back to the U.S. AML process there. When you mentioned that in October, you will have been CEO for 5 years. But in November, there's another event in the U.S., right, there's an election. And I just wanted to check if this being an election year at all features in your own thinking around the timing for a potential find them from the Department of Justice or others in the U.S.?
Jens Henriksson: Well, I would not dare to have any guess about that. The key thing is that this is the time line fully decided by the U.S. authorities, and we are there to that principle.
Operator: The next question comes from the line of Hugh Moorhead, Berenberg.
Hugh Moorhead: Hugh from Berenberg here. A couple of small clarifications on the models front. Firstly, did you -- did I hear you say that Article 3 add-ons have now been reduced to nil. I thought that there was EUR 27 billion of add-ons for the last quarter, which would suggest EUR 17 billion left now. And adjacent to that, please, can you confirm if there will be any more migrations from retail to corporate, which could lead to further REA releases as we've seen housing association loans this quarter. And then secondly, just on Baltic NII, which looks like it's been pretty resilient Q-on-Q, I appreciate there's probably a bit of FX tailwinds at work there, but could you just confirm please that there are no other one-offs, for example, that are providing support there and that, therefore, that the kind of Q-on-Q evolution is relatively clean.
Rolf Marquardt: Yes. So let's start with the Article 3 add-on. No, the Article 3 add-on in total is not nil, but it's nil for the large corporate PD model. So that's just for that model, but we still have some Article 3 add-ons, as you can see.
Anders Karlsson: And on the NII in the Baltics, I think there are, we tend to look at it from a group perspective since when you see rates moving like you have seen in the quarter, there is always traffic between the business areas and treasury, but there is a positive FX element into NII, definitely so.
Hugh Moorhead: Okay. And sorry, just on the note and just to confirm, no further REA release is likely from the migration of loans from retail to corporate models.
Anders Karlsson: No.
Operator: The next question comes from the line of Riccardo Rovere, Mediobanca.
Riccardo Rovere: A couple of clarifications, if I may. First of all, is it possible to have an idea of the amount in SEK billion on the transaction accounts that have now remunerated 10 basis points in Sweden. The other thing I wanted to understand a little bit more is on...
Annie Ho: Riccardo, could you just repeat that last part of your question? We missed that.
Riccardo Rovere: Sure, sure, sure. I hope now the line is a bit better. I just wanted to have an idea of the amount of deposits, transaction accounts in Sweden that are remunerated 10 basis points, if I understood it correctly, one of your previous statements. The second question I have is on the overlays, is it fair to say that may be a possible use of basis progressive release quarter-by-quarter and maybe this process could last, I don't know, just a couple of years, 2 or 3 years, you used to put the numbers instead of having 1 big release at year end when you talk to your auditors. And the other question I have is, again, on Basel IV, if I understood it correctly, when you state -- before you stated that in January '25, we expect the impact from Basel IV to be minimal, so out of the 130 basis points, the decline in your Capital Markets Day that part should be -- not part of it, if I understood it correctly, and that should be mostly from operational risk, if I understood it right. How can this be possible considering that your risk weights in general terms are away from the standardized levels and even if you use an output floor of 50% on Jan '25?
Anders Karlsson: Thank you, Riccardo. On your first question, the amount of transaction accounts in Sweden that are related to the private portfolio is roughly SEK 100 billion.
Riccardo Rovere: Okay.
Rolf Marquardt: Okay. So let's start with the -- your question about the post model adjustment. And as you know, the post model adjustment was initially made on the back of COVID, which was then followed by the Ukraine war, sharply increased inflation, interest rates, et cetera. And this caused the potential increased risk on the portfolio level, and we concluded this was not fully reflected in our models and that has seen credit migrations. And as we have seen these migrations materialize, the post model adjustment has been partly released. And that's also the background to reverse as you have seen over the last quarters. But we also conclude that some uncertainties do remain, and that's also why we have kept the post model adjustment at the level we have kept. So that's the approach we have. So as we see that this is getting embedded in the credit loss calculations we are making, then we release the result. And then on operational risk, I think -- and the capital requirement on the Basel IV. So as Anders mentioned, so what happens in the first step is, by the end of this year when we update in changing the years that are being part of the calculation of the operational risk capital requirements. So that's one part, and then when we go into Basel IV, we have an additional impact changing the method. So that is what is actually going to happen. So that's the explanation behind it.
Riccardo Rovere: So then Rolf on this last topic. So what I understand -- if I understand you correctly, in January 2025, there will be no impact on risk-weighted assets on credit risk. It will only be op risk, IRB is '26 now for the moment, at least. Did I get it right?
Rolf Marquardt: That’s correct. It’s – the Basel IV effect is related to the update of the coefficients for calculation, calculating operational risk capital requirements.
Operator: The next question comes from the line of Markus Sandgren, Kepler Cheuvreux.
Markus Sandgren: I was just thinking, I saw you did some incremental commercial real estate lending this quarter. And at the same time, we hear there's really good spreads in the market for issuing bonds in that segment. What are you seeing on the ground in terms of competition between the bond market and your lending? And also going forward, I mean, given that you have quite a lot of commercial real estate lending. Do you have any upper limit or if that grows really strongly, could you benefit from that?
Jens Henriksson: Well, if I will start first. I mean we talk frequently with our property management customers. And I think they have sort of learned quite a lot from what has happened and we see that – we see potentially in sort of more bank lending in the future. Exactly how that combination will look like. It depends on sort of the competition on rates. And let me just restate what I said for a long time, and that is that the exposure we have in this market, it’s in line with our strategy and risk appetite. And the increase you’ve seen during the quarter of SEK 10 billion has been selective.
Operator: The last question is from Shrey Srivastava, Citigroup.
Shrey Srivastava: Just one for me, please. You among other incumbents have been losing market share in the household deposit market and the household lending market, if we go by the system data. Looking at competition, not only from other incumbents in the field, but also from niche banks. How do you see this evolving as rates come down? And what advantages do you have that will enable you to preserve market share at this point?
Jens Henriksson: Well, it is a strong competition out there. And especially with low volumes, there is a big competition around sort of the volumes that is there. But I think that’s life. And what we need to do is to have the best full service offering. And I’m proud to say that we have the best full service offering, so there will be underliners trying to grab the piece of the cake, but we will keep on fighting and have the best customer offering. Now it seems like there are no more questions. In that case, I want to say, thank you. Thank you for following us, and thank you for always asking difficult questions. Now I’m going to go to London later on this evening for some meetings. And I wish you all a great summer and looking forward seeing you either on the road, on the screen or next time we deliver our results. Thank you. Bye.